Operator: Good afternoon. Thank you for standing by, and welcome to AppFolio Incorporated Fourth Quarter 2021 Financial Results Conference Call. Please be advised today's conference is being recorded, and replay information will be given at the end of the broadcast. I would now like to hand the conference over to Lori Barker, Investor Relations.
Lori Barker: Thank you. Good afternoon, everyone. I'm Lori Barker, Investor Relations for AppFolio, and I'd like to thank you for joining us today as we report AppFolio's fourth quarter and fiscal year 2021 financial results. With me on the call today are Jason Randall, AppFolio's President and CEO; and Fay Sien Goon, AppFolio's Chief Financial Officer. This call is being simultaneously webcast on the Investor Relations section of our website at www.appfolioinc.com. Before we get started, I would like to remind everyone of AppFolio's safe harbor policy. Comments made during this conference call and webcast contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions, is a forward-looking statement. AppFolio's actual future results could differ materially from those expressed in such forward-looking statements for any reasons, including those listed on our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements, except as required by law. Please see our filings with the SEC, including our Form 10-K, which was filed earlier today, for greater detail about risks and uncertainties. With that, I will turn the call over to Jason Randall, AppFolio's President and CEO. Jason, please go ahead.
Jason Randall: Thank you, Lori, and welcome to everyone joining us for AppFolio's fourth quarter and fiscal year 2021 financial results. I'm pleased to report that in the fourth quarter, revenue was up 32% to $95.6 million, capping off a year of 26% revenue growth in our continuing real estate business. Unit expansion per customer shows that our ongoing multiyear strategy and investment in moving upmarket to customers with more complex portfolios and substantial unit count is working. In 2021, we continued our focus on igniting revenue growth by layering in a new organizational strategy structured around our growing customer base. We also increased momentum in our value-added services, especially in payments. For 2022, our team is energized to continue making traction in these areas of ongoing growth. Against that backdrop, I'd like to start today's call with a short discussion about the state of our industry and how AppFolio is helping our customers. Digital transformation is a requirement for many businesses' success today, and the way we work and live requires powerful solutions to enable this transformation. AppFolio exists to maximize the success of businesses small, medium and large across the real estate industry, and we are leading customers to the future of how work is done. This continues to give us purpose as we navigate the world in an industry that is undergoing significant change. Our customers and the real estate industry as a whole are experiencing the impacts of the changing labor market. Turnover has increased, and staffing vacant positions takes more time and resources. In fact, the 2021 survey we conducted in partnership with the National Apartment Association reveal that HR staffing and recruitment is by far the most urgent challenge for property managers, followed by improving operational efficiencies and maximizing revenue and profits. What this means is that our customers are doing more with fewer resources, which makes it imperative for them to automate and standardize their process of new systems. AppFolio Property Manager provides a powerful platform which real estate property managers and owner operators can run their business. From initial tenant screening and onboarding, handling maintenance requests and sending and receiving payments, all while giving actionable business insights that help drive revenue and profits. And in recognition of the evolving needs that customers with larger and more complex portfolios have for people business insights, automation and more advanced customer experiences, we continue to invest behind AppFolio Property Manager Plus. In 2021, we continued our ongoing effort to refine the user experience by reducing the time it takes to complete common workflows and bringing customers to focus on higher-value tasks. We released substantial improvements throughout the year, including a unit term board that can shorten the length of time from move-out until a unit is ready to be rented and off-line inspections, which allows customers to complete a full unit inspection on a mobile device, even when Internet connectivity is unreliable. We also introduced loan tracking and accounting automation to enable customers to track existing loans and mortgages to further streamline accounting processes, making it easier for property owners to assess and optimize their debt financing strategy. One of the most powerful ways to save our customers' time is to eliminate the need for certain tasks altogether. For the last few years, we have been applying AI-based automation to streamline manual processes in leasing and accounting. In 2021, we launched our AI-based AppFolio Smart Maintenance service. Smart Maintenance automates the intake, prioritization and dispatch of maintenance service requests that automatically create work orders in the process, reducing long call times for maintenance efficient and reducing the time it takes to resolve issues. Elevation Real Estate and management uses AppFolio property manager to manage a mixed portfolio of 850-plus single-family, multifamily and commercial units throughout Northwest Arkansas. They recently turned to AppFolio's Smart Maintenance to help deliver a robust and user-friendly maintenance solution. Since producing Smart Maintenance, Elevation reported that they have freed up roughly 60 hours a month to do things that will only get on the back burner. Mike Biasio, Elevation's Regional Manager, shares this quote, "With the time savings, we're able to do things like preventative maintenance, organizing and cleaning, all the things you normally don't have time to do because you're always chasing down the next maintenance request." We believe our customer-centric culture and market validation techniques that direct our product strategy are key to our success, and we strive to nurture and engaged long-term customer relationships. An example of our success in this area is Canadian properties, a professional real estate development and property management team serving Central Iowa with roughly 1,800 units currently on our platform. Since adopting AppFolio Property Managers in early 2021, Cadence Properties has achieved growth without adding to a leasing staff. Cadence Properties currently uses a number of our value-added services, including screening, insurance, websites, premium lease, Smart Maintenance and AppFolio AI leasing assisted. According to the customer, AppFolio has significantly improved Cadence Properties ability to manage cash flow, security, occupancy, lease renewals, rent increases and overall operations. As we enter 2022 and beyond, we will continue to work on four interrelated elements of our multiyear strategy, all of which focus on serving a broader swathe of the real estate market and meeting the complex needs of both SMB and larger customers with mixed real estate portfolios. First, expand our markets. We are leveraging AppFolio's experience in our core SMB market as we add capabilities focused on growing higher unit count customers. We have organized sales, marketing and customer support into residential and community association property types. At the same time, we have created the main teams to invest more capabilities and workflows across those varying customers and property types. By year-end, we were clearly seeing the impact of the shift in its go-to-market strategy. Going forward, our existing customer base will enable us to continue diversifying the number of property types we serve within our customer portfolios, eventually touching almost every aspect of modern real estate operations. At the end of 2021, we had approximately 17,200 customers and 6.35 million property management units on our platform. This is a key metric for us. We helped thousands of customers serve millions of residents every day. Second, expand our average revenue per unit and grow customer retention by having an expanding value-added services. For several years, we've been investing in value-added services, including payments, screening and insurance. All of these are designed to enhance automate and streamline processes and workflows that are essential to our customers' business and to enable AppFolio to increase our attach rate per unit. Looking ahead, we will continue our value-added services investments and are working to expand our use of key partnerships and integrations. Third, make our products easier to use. Our software delivers efficiency gains by automating workflows to free staff and increase productivity. As part of this strategy, we will continue to invest in AI as a transformational technology to trust real-world real estate industry problems by enabling AppFolio customers to act with greater speed, understand performance with more accuracy and bring more consistency to their operations, all of which we believe will ultimately improve our customers' business. Fourth, continue to modernize and streamline our onboarding processes to ensure that our customers are well prepared to run their business on our platform. AppFolio onboarding includes a dedicated team that goes above and beyond help customers realize value from our solutions. After we assist with data migration, we are able to provide valuable insights into data integrity and work with our customers to help improve their underlying business processes. Our team can share insights on best practices, and we dedicate resources to guide our customers through the adoption and utilization of our value-added services. All four elements of our multiyear strategy focused on serving a broader swathe of the real estate market and meeting the complex needs of both SMB and larger customers with mixed real estate portfolios. These investments support our ultimate goal to make our customers' businesses and lives better. As I have mentioned in previous calls, we believe our people are at the heart of our success and our customer success, and we continue to make investments in growing and developing our team. Throughout 2021 and even more recently, we've invested significant resources to develop the talent need to remain at the forefront of innovation and make us an employer of choice. We've also brought in new external leadership from such market-leading companies as Salesforce, C3 AI and Ring Centrals name a few to lead our product sales and engineering organizations. All of this focus has led to the recognition that demonstrates our value, company culture and workplace, Fortune recognized AppFolio is a great place to work for women in 2021, and the Glassdoor Employees' Choice Awards chose AppFolio's as one of the best places to work in 2022. In summary, I'm pleased with our results in the fourth quarter, and we will continue to invest in the key foundations of our success, our customers, our innovative products and services, our employees and our revenue-generating go-to-market strategy. I will now turn the call over to Fay Sien for more detail on Folio's financial results.
Fay Sien Goon: Thank you, Jason. On the call today, to enhance comparability, I will discuss the results of our continuing real estate business, excluding the impact of our former MyCase business which we divested in the third quarter of 2020. We are pleased with our strong fourth quarter revenue growth rate of 32% year-over-year or $95.6 million. For the full year 2021, revenue from our continuing real estate business grew 26% to $359 million. This increase is primarily due to growth in our usage-based value-added services, which are designed to enhance, automate and streamline processes and workflows that are essential to our customers' businesses. Also, our revenue grew due to increasing unit counts and growth in the number of property management customers we serve. The migration of customers to portfolio Property Manager Plus is an excellent example of our land and expense strategy as we continue to drive increased revenue from existing customers who realize the value in our products. Core solutions revenue, which are revenues derived from subscriptions to customers based on units on our platform, was $29 million in Q4, representing an increase of 26% year-over-year. Full year core solutions revenue from our continuing real estate business grew 22%. At the end of the fourth quarter, we managed 6.35 million property management units compared to 5.36 million a year earlier. This represents an 18% increase in the average annual property management units under management. The growth rate in the number of property management units is a key performance metric that drives how we manage our revenue growth. Residential units continue to be the largest part of our business. Community association has also contributed nicely this year to our unit count. In addition, the number of units we serve, it is important to note that core revenue also grew as we continue to support customers with larger unit portfolios and drive higher adoption rate of AppFolio Property Manager Plus. Additionally, the focus on our sales, marketing and customer support efforts is showing good traction. With regards to value-added services Q4 revenue, we experienced a strong 39% year-over-year growth to $63.8 million, and our full year value-added services grew 31%. Again, this is revenue from our continuing operations. This year-over-year increase is due not only to the increase in property management units under management but also increased adoption and utilization for our electronic payment services, tenant screening and insurance service offerings. Tenants and property managers continue to take advantage of these services as more business is being transacted online relative to last year. The sequential quarterly decrease in value-added services of 3% is primarily due to the seasonality in our tenant screening business, which generally experiences declines in the fourth quarter when our leasing activities typically occur by reducing the demand for screening services. Gross margin, excluding stock compensation, was 59.6%, consistent with the fourth quarter of last year. Annual 2021 gross margin from continuing operations, excluding stock compensation, was down about 140 basis points as our product mix shifted due to the higher annual growth rate of value-added services revenue. Now turning to spending. Our year-over-year increase in operating expenses for Q4 and full year 2021 are primarily related to additional headcount needed to fuel our growth, additional marketing spend and an increase in third-party cost of revenues in line with the increase in relevant value-added services revenue. Also, as many businesses are experiencing the costs associated with hiring and retaining talent continue to increase more than in prior years, particularly in specialized areas such as R&D. We are targeting annual 2022 revenue of $447 million to $457 million. The midpoint of the range represents a full year growth rate of 26%. In terms of seasonality, in a typical second quarter, tenant applications increased and our property managers then experienced new tenant expansion in the third quarter. This results in higher demand for insurance services in the third quarter. As we mentioned earlier, we have typically seen a sequential decline in revenue in the fourth quarter with tenant screening reductions due to seasonality, lower leasing activities. We expect the cost of revenue exclusive of depreciation and amortization for 2022 to increase slightly as a percentage of revenue due to changing product mix. Value-added services revenues are increasing faster than total revenue and we forecast an increase in expenditures to third-party service providers. Although our year-over-year percentage increase in headcount will be a little more moderate in 2022, the cost of attracting and retaining talent are expected to continue increasing at or above inflation rates. Therefore, we expect some growth in operating expenses. As our new CFO, I'm looking forward to working with Jason and the leadership team as we focus on growing profitability and building a scalable long-term growth model. I'm glad to have joined AppFolio during this exciting growth phase. Our focus in 2022 is growing the number of units under management, moving our markets and providing our thousands of customers with an exceptional customer experience and dynamic technology for managing millions of units. Thank you all for joining us today.
Q - :